Operator: Greetings. Welcome to the Biostage Q3 2022 Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host today, Joe Damasio, Chief Financial Officer. Please proceed sir.
Joe Damasio: Good morning. This is Joe Damasio. On the call with me today is David Green, our Interim Chief Executive Officer. Before I turn it over to David, let me review the company's forward-looking statements. In our discussion today, we may make statements that constitute forward-looking statements. Our actual results and performance may differ materially from what we have previously projected due to the risks and uncertainties, including those detailed in our annual report on Form 10-K for the year ended December 31, 2021, and in our other public filings. Any forward-looking statements, including those related to our future results and activities, represent our estimates as of today and should not be relied upon as representing our estimates at any subsequent day. Additionally, any material, financial or statistical information presented in the call, which are not included in our press release, will be archived and available in the Investor Section of our website under Events and Presentations. I would like to remind everyone that we are currently in the legally required quiet period in relation to our Form S1 and related filings and hence we will not be taking any questions on the call. Now I will turn it over to David.
David Green: Thank you, Joe and welcome everyone to this quarterly conference call for Biostage to discuss earnings and related matters. Let's first talk about business highlights of the third quarter 2022. These include, first, we hired on August 8, 2022, Joe Damasio as our new Chief Financial Officer, second on October 25, 2022 Biostage received a new US patent that protects extension of the use of Biostage’s technology from hollow tubes such as the esophagus to patches. Biostage expects this new technology to enable it treat fistulas which are holes or strictures which are narrowings or damage to the esophagus such as from gastero-esophageal reflux disease, or GERD, as well as damage and disease in other parts of the gastero-intestinal tract such as the stomach and intestine. This new technology is known as the Biostage Tissue Patch. I'll now turn this over to Joe to review the financial results for Q3. Joe?
Joe Damasio: Thank you, I want to briefly cover the highlights of our third quarter financial results. Our net loss was approximately $1.1 million or $0.10 per basic and diluted share for the quarter ended September 30, ‘22. Those figures include approximately $0.3 million of non-cash charges per share-based compensation and depreciation expenses. As of September 30, 2022, we had cash on hand of approximately $3 million and had no debt. We use approximately $1.6 million in cash for operations during the quarter. Based on our current operating plan, we expect that our current cash will be sufficient to fund our operating expenses and capital expenditure requirements into the second quarter of 2023. I pass back to David for ending remarks.
David Green: Thank you all for your participation today. And we look forward to making Biostage a success. Thank you and goodbye.
Operator: This does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.
Operator: [Operator Instructions]
 :
 :